Operator: Welcome and thank you for joining the Q1 2019 Earnings Call. At this time, all participant lines are placed on listen-only mode until the question-and-answer session of today's call. [Operator Instructions] As a reminder, today's call will be recorded. If you have any objections you may disconnect at this point. Now I'll turn it over to your host Mr. Christian Reinaudo, CEO of Agfa-Gevaert. You may begin.
Christian Reinaudo: Thank you, Robert. Good morning, everyone. In the room here we have Stefaan Vanhooren, Luc Thijs, Luc Delagaye and Dirk De Man, our CFO [indiscernible]. We're going to comment first quarter results of 2019. As you may have seen on the website we have several things to explain in this column, which is going to be different from what we have normally presented before. Of course, the content would be the same. It's still the results of the company. But the format of the slide is different. The format of the organization is different. The IFRS standards are different. So I'm going to try to make your life easy and we have restated all the numbers. So normally you will do a fair comparison as in the quarter one of last year and the quarter one of this year both in terms of IFRS standards and in terms of structure of the organization. Let me first now address the two key things of this quarter, one, in terms of transformation process. I explained pretty in-depth last quarter that we had debt [ph] in 2018. There are other things which are transforming the company. I think I was pretty clear saying that there are two elements of this strategy which are critical this year in terms of execution. The first one is the progress and the implementation of the alliance with Lucky in the Offset division and the second one is of course a decision on the sale of our IT business So back to Lucky, I think we can say now that we have finalized the creation of a common sense platform, which is a joint venture between Lucky and Agfa. And we have fully defined the way we will conduct our business on the Chinese market. In parallel of that, as you know there is an element of concern of technology and manufacturing which is progressing well. And as I said already in August last year when we signed the agreement there would be a component over time of reflection between Lucky and Agfa, by the way we extend our alliance in terms of technology manufacturing and go to market and this is progressing well as well. And in the meantime we have taken several initiatives to improve our position in offsetting the emerging markets, emerging markets being of course the main concern. And you will see that in the numbers of the evolution of the Offset business because most of the business is now moving pretty fast to these kinds of countries. The growth is there. While it is not growing in the mature markets and in this emerging market the prices are very sensitive to say the least, hence the importance of this alliance with Lucky. The second significant project of transformation is of course the decision on the sale of the IT. We had a board meeting yesterday which was interesting and we have decided that we are going to investigate in-depth the sale of a part of Agfa HealthCare, that is we are not going to sell the entire IT business of Agfa and this part of which would be for sale is expected to basically be a Hospital IT and the Integrated Care, but also the Imaging IT business to the extent it is connected to the hospital systems. And this is mainly the case in the DACH region, Germany, Austria, Switzerland, but it is also the case in France and Brazil. So basically the HEIS [ph] business as you know is a business which has been developed in these three regions Brazil, France and DACH. And in these regions the Imaging IP business which is largely associated to the development of the EMR [ph] will be part of the perimeter of the transaction we investigate. Moving to the next slide. The new divisional structure and IFRS. So I was pretty clear last quarter that we have decided to create two entities Agfa and Agfa HealthCare. Agfa HealthCare is the former IT business and Agfa is the rest of the activity. Basically the former graphics, the former specialty and the imaging part of the former healthcare. In total there will be therefore four divisions which would be reported, one, which is the Offset, so corresponding to the former perimeter of the free press [ph] business of graphics. The second one is the Radiology, which is the perimeter of the former of imaging. The third one that we call Digital Print & Chemicals, which is the aggregation of the former specialty products and the inkjet business of graphics. And finally the IT business of HealthCare. We have also decided to for transparency reasons to isolate a certain number of pure [ph] corporate cost and to create a sort of fifth division that we call Corporate Services which are in fact the cost associated to running the corporation which have no direct impact on the businesses, so that's the Investor Relations, that the Corporate Finance, the derivative Corporate Finance, we are not talking here about the controlling of the businesses, this is the Internal Audit, this is the newly created Innovation Office, so there are you will see here €5 million in the quarter of cost, that we stated compared to last year to make sure that you have a fair comparison of the results. Moving to the next slide. That is the change of IFRS standard. On top of the divisional structure, so you may know if you don't know I tell you, that IFRS 16 is dealing with the leases of the company, in particular the leases on buildings, but also the leases on different things, like the cars or whatever. This IFRS standard at different angles in terms of impact on the accounting of the company, balance sheet ways the right of use of these assets and the lease liabilities are recognized now under balance sheet. In the P&L, in the EBIT we have the operating lease expenses, which has been replaced by the depreciation of the right of use. In fact, if you have $100 million of right of use and you depreciate 10% of that $10 million which are flowing into the EBIT. And the interest of lease liabilities is accounted into financing expenses. In terms of cash flow, the payment of the operating lease is recognized in the net cash from financing activities instead of operating activities. I am sure that you will have questions and I am sure that Dirk will be very happy to answer the questions on these standards. So for me as CEO there is different levels of impact. The first one is that on the balance sheet we have an impact on the assets and liabilities of €127 million due to the right of use and the lease liabilities. On the P&L basically no impact on the EBIT, no impact major on the net result, but significant impact on the EBITDA because of the depreciation increase which is about €40 million in the full year and you received €10 million in this quarter. And finally, on the cash flow there is no effect on the total amount of cash flows reported. There is an effect of course on our debt, as you will see because we report in the liabilities all the different elements I just mentioned. Moving to the sales of the group now on the next page, page five. So you see for the first time the pie chart up cut in a different way. So in right on this chart for 37% you have the Offset division, which is the biggest division of the group. Then going done by size, you have the HealthCare IT business in yellow which is 23% of the revenues of the quarter. Then you have the Radiology business for 21% in blue. And finally the DPC in green for 19%, total sales a bit above €500 million in the quarter. Moving to the slide six, the traditional table of P&L above a bit. So top line decline of 1.9%, excluding currency exchange rates which are positive this year for Agfa minus 3.3%. Of course, this takes into account an amount of about €10 million which has been the decision to stop the reseller activity in the US, so excluding this decision the top line would have been rather flat. Of course, with different elements, including the currency, including the impact of the acquisition of [indiscernible]. The top line which is starting to improve a little bit compared to the trends of the previous quarters. The other thing I would like to say on the top line is that this top line evolution is driven of course by the Offset division, which is as I was explaining struggling with different things like the mix of original mix and the war on prices in the emerging markets and the good news if I may say so is that the decline of the top line is coming only from this Offset division this quarter. And the other good news is that it reinforces the fact that we believe the decision to make an alliance with Lucky and to execute this alliance very well was a good decision to take, a timely decision and there would be more and more complexity of this market for players which are not going to be able to address the cost issue in a right way. The gross profit of the company stays flat. Mixed bag here also, of course, we have a negative impact of raw matters in the quarter. We have negative impact of course of the shift in graphics. We will see that later towards the emerging markets, but positive impact of improvement of gross margin in Radiology and IP. SG&A 22.7%, I just repeat what I said several times now in the last quarters with the top line which is declining and the efforts we have done in the past years to secure our operations in an efficient way. We have more and more difficulties to find new ways to reduce the cost. You see that the costs are basically constant. If you take into account here that some of the costs are in countries where the currency are stronger. There is a negative impact of the currencies, but overall we have an impact of the G&A percentage to sales which is going in the wrong direction and we have plans to address this issue in the remaining part of the year. The research and development is constant at €37 million in the quarter and the adjusted EBITDA, by the way, adjusted EBITDA this is what we were calling recurring EBITDA in the past, perimeter is the same. That wording [ph] is more in line with the standards and we have decided to move to adjusted EBITDA. So the adjusted EBITDA excluding the IFRS 16 impact is €33 million which is comparable to the €37 million of last year Q1. If you include the so-called €10 million of impact of IFRS 16, you see in the footnotes on the left hand side that the EBITDA will be directly reported at €43 million. Moving to the numbers below a bit on page seven. The restructuring and non-recurring are the same level as last year €4 million, by the way this is a number which is still small in the quarter, but for the rest of the year we have significant programs of restructuring. Therefore we would be probably above the average guidance of €30 million that we give normally. So it would be maybe more comparable to what we did last year. The non-operating results at minus 11% compared to minus 10%. Of course, there is an element of extra cost of financing because of the debt limit and the taxes are €8 million negative compared to 3 last year. There is here an element of extra taxes we pay because of the reorganization of the group and some process of legal units and these kinds of things. And of course because of this increase of taxes the net result is slightly negative at minus €3 million as opposed to plus 7 of last year. On page eight, the traditional slides on the main driver. So I would not repeat too much, but elements of satisfaction, the inkjet in particular, the high range of the Jeti Tauro machines which is performing well, as well as the Ink, element of satisfaction the fact that we are now getting out of the trap we were in China with our hardcopy film. So the transformation we have operated in the last two years is paying off, both in terms of margin, but also in terms of recovery of volumes. So that's good news. And finally our Healthcare IT division is performing according to our expectations. That means growing in the SGIS business and improving in the IITS [ph] business and the rest has been commented. On slide nine, you see the picture of the evolution of our debt, net financial debt, in blue you see the things which are comparable and in red the 118 million which are the impact of the IFRS 16. So the debt as reported is €255 million, but comparable to last year its €137, showing a slight improvement in the first quarter, in spite of the seasonality which is not favorable to the debt reduction. On page 10, you see the working capital, showing an improvement compared to the end of the year '18 of €6 million, but not improving in terms of percentage of sales still at 29% and the point of concern on this slide is the inventory level which is now expanded to 128 days of inventory and hands. We have started to rebuild a program of hunting the extra inventories. Part of this extra inventories are due to the transformation of the business, I explained that. The Chinese hardcopy film of course now we have two to bear inventories where before there were concerns very early in the process to the first line of distributors. We have also - because of the taxes and tariffs and the battle between the Chinese and the US presidents, we have some supply chain issues to organize in the way we transfer the plates in the Offset division. And this has also a cost in terms of inventory. But at the end of the day, I think we have to improve our efficiency in this event [ph] and I would report on that quarter after quarter of releasing some improvements. The receivables and the payables are evolving correctly. Slide 11, you see the so-called corporate services, so this is just a slide to state the numbers in terms of EBITDA in the quarter one of 2019, excluding IFRS 16, we report minus €4.8 million. By the way it would have been the same including IFRS 16, while last year the equivalent perimeter would have been €3.7 million. Last year we didn't have yet the Innovation Office in place and we really want to invest to the future of capability to innovate and to anticipate the major trends of the market big technology. I'm talking here about technologies in our own domains, but also the technologies like artificial intelligence, like Internet of Things, like the blockchain and these kind of things around the companies in general terms and Agfa in particular would have to reflect on the impact of these technologies on the evolution of our businesses. So €4.8 million cost that we spent at the corporate level, which have no impact direct on the profitability of the businesses. Moving to the four divisions now, starting with Offset. You see on page 13 the split of the business between the Digital computer-to-plate and the Analog computer-to-film and the Analog is 12%. It's for this reason that we're well because the film business to some extent will benefit from the fact that we are if not the last one at least the biggest one standing in this domain of offset film solutions, then of course the vast majority is related to the digital plates. In red on this slide, slide 14. The P&L, the Offset division shows a decline of 7.4% of top line and even 9.6% if you exclude the currency effects, which are positive. As I said we need mentally to remove something like 5% which is related to the decision to drop the reseller activity last year. So in fact, including the positive effect of the currency and everything the top line decline would have been only 2.6%, but this is honestly a bit artificial because at the end of the day we should not hide that. We continue together with our competitors because if you read the reports of our competitors in their first quarter we all struggled with the evolution of this market. The gross profits by three points lower than last year, obviously suffers from the cost of aluminium which is - because of our strategy of hedging - carrying today higher cost compared to the equivalent quarter of last year, but also as I said suffering from the mix, regional mix in particular Agfa [ph] sales. SG&A 1% more than last year, 21.6%, even if the number is lower that compared to sales with a decline of 7% of sales is difficult to keep the ratio constant. And I was saying a few minutes ago that we have a plan to work on this issue this year and I must say that if I look in the offset division are the front line of these cost reductions, so this is where we have to cut our costs the most because the top line is declining. Research and development we tried to keep costs in the efforts because we still have significant developments to adapt the plate strategy of access to the new trends in the market. So in terms of cost, in terms of the software ability to deliver to our customer's efficient total cost of ownership and of course, evolution of plates technology. And EBITDA is at €1.2 million, 0.6% of sales including IFRS 16 it would have been €3.8 [ph] million but compared to last year it's a reduction of €10 million of EBITDA from 11.2 to 1.2. On page 15 the drivers behind these numbers, as I think I commented most of it, maybe just to highlight on the business. We have organized for the first time what we call the value conference at Agfa. The idea is to show our customers that the plates are of course an important element of their technology and their business, but Agfa has more than plates to offer and we have what we call the eco-free solution which is enabling the customers to have a total cost ownership approach which is different. We have fantastic software to save in consumption to improve the workflow. We have also plates which are very ecology friendly and we have overall a system of maintenance and services which is helping them a lot. So this conference was held in Agfa and I would say we were very happy with the success and the wakeup call it was on some of our customers. The next one is about significant UK customer, which has now refurbished a new factory after the first three one in the UK and in Southampton [ph] I will move now to the page 17 in the Digital Print & Chemicals, so as I said, the Digital Print & Chemicals is the son of the former Specialty Group and Inkjet. The reason why we have associated these two businesses is because we have in the few domains a sort of commonality of DNA and in particular in research, in the IP. The recent moves we have done in the Inks, for example the success we had with Zekework [ph] in terms of low migration inks for packaging UV inks shows that these two parts of the business are solely connected and correlated, in particular in the upstream part of R&D and development. Then this operation of carve out of the inkjet from graphics has also allowed us to identify better the costs of the two businesses. Inkjet is now more standalone and therefore it brings more costs to support because the business is not protected by the grandfather of Offset in the graphics group. It helps also to clarify and add some transparency to you. And finally, we believe that in particular in the industrial development of the inkjet we will find more and more commonalities and synergies in the field of inks between the former Specialty Group and the inkjet business unit. So as you see inkjet is almost half of the new division, 39% is related to the films and foils and 18 - 14% in blue is related to the electronics in general, PCB and electronics print and other in particular. The P&L slide 18 shows a good performance of this division, top line increasing by 6%, 3.2% excluding currency exchange rates, where here the currency exchange rates are negative impact. The gross margin going in the right direction at 28%. The cost being well under control. The R&D the same and the adjusted EBITDA it goes to 10% which would have been even more than €10 million in the IFRS 16, including IFRS 16. So sort of model of what Agfa should be if we were able to close this digital print and chemicals activity. Good news, the Jeti, big Jetia machine, the 3.3 meter on slide 19 is progressing well. It's well accepted by the market. I think I said that already in the previous quarter. Good news also is that our growing businesses in the form of specialty being Synaps Orgacon, Security performed very well in the quarter one and other good news that we have secured a new distributor for Synaps business which was so far working a lot from a distributor in the US. Now we have an equivalent distributor for the Japanese market which is another big market in the domain synthetic paper. So that's the good use of the first quarter for the VPC division. Moving to Radiology on slide 21, you see the split and you can deduct from the previous presentations basically this kind of thing. So Hardcopy is at 58% of the division, the biggest business unit. The CR/DR radiology equipment at 35% of the top line and the classic films at 7% of this division top line. On slide 22, the P&L, you see to top line basically flattish, which is a good news because it was declining. The gross profit is improving 2% more and this is of course largely due to the fact that we have recovered in the Chinese market and that we start to harvest the fruits of this transformation. The SG&A are increased but part of that is obviously due to the fact that we have equipped our business with the sales force in China to replace the images that we have removed so there is a lot of concern of course from the SG&A into the gross margin. But going forward the mother is to continue to grow and to recover part of the volumes we have lost in the last two years of transformation and therefore this evolution should continue to be a positive evolution. The R&D is constant €5 million in the quarter and the adjusted EBITDA goes back to levels which are more decent of close to 13% on the top line. Slide 23, a few comments. The numbers have been commented on the business highlights, we had a good acceptance of the new DR 800 machines which is a pretty big DR including fluoroscopy, dynamic imaging. This product has received the award from Frost & Sullivan about being the Global New Product Innovation Award for the significance in a context where it's not easy for a newcomer like access Agfa's to get some awards in a very crowded market. And so the DR business is starting to show up some improvements in the order intake, in particular in Europe, in the US where a few significant contacts have been signed in the UK, in Poland in particular. Moving to Healthcare IT, a pie chart on slide 25, you see the IITS business in blue and the HCIS business in red, 40% for HCIS, 60% for IITS. The P&L on slide 26 shows flattish top line which is contrasted between the HCIS business which is growing steadily and the IITS business which unfortunately has to be compared to Q1 last year which was pretty strong. So - but it's a bit distorted. We have good news on the front of IITS, I mean, the program that we have developed that Lictask [ph] is conducting in terms of refocusing the business, eliminating some markets where the business is too small and the profitability is to too limited, improves the gross margin. Of course, it weighs on the top line, but it has total benefit impact on the P&L. The other good news is that the order book is being rebuilt and the confidence is coming back in our platform, in particular in the US, the rest of the business outside of the US is performing well. So I mean, the confidence in the platform and the stability of the platform and the trust of the customers and the future evolution - positive evolution of this business is restored. The margin is improving in particular for all the efforts that I was explaining, including the service efficiency of this business which is clearly recovering. The SG&A is constant to sales to saves and the EBITDA is close to 10%, it would have been a bit higher at €15.6 million including the IFRS 16 and it compares well to the EBITDA of last year. We're expecting this division to show improvements in the quarters to come, in particular because we are more and more confident that our IITS business is on the path of recovery after two difficulties years. On the business highlights on page 27, just one contract we want to highlight which is a multiyear Imaging IT collaboration with the Northwest Ziekenhuisgroep in Netherlands, significant business and we think it's a market which is critical for us because this is a very competitive market the Netherlands and we are happy to have a positive reception of Imaging IT platform. And of course, you may know that there is now clear evolution - positive evolution of the infrastructure for telematic in Germany, we are not the most - the biggest company in terms of benefits of this infrastructure, of course, we are not building the infrastructure, but we have to connect our customers to this infrastructure. And this is generating a significant amount of growth in particular in the years to come. So that's a business in which we are obviously well positioned to participate into because of the huge installed base that we have in the hospitals in Germany. So that in nutshell the quarter one. So to summarize two important things. One, the positive evolution of the work with Lucky and finalization of our joint venture in China. Two, decision of the Board to investigate now in-depth the sale of the path of the IT business. In terms of operations, satisfactions on the side of inkjet, in particular the large Tauro machine, satisfaction in the field the former specialty group, satisfaction in the field of the HCIS business in IT, satisfaction in the field of recovery in China on the hardcopy film. And I will say a point of concern which is being addressed with the alliance with Lucky which is the offset evolution of the business. Thank you. And now we can open the floor for questions.
Operator: Thank you. [Operator Instructions] Okay. Our first question comes from the line of the Stefaan Genoe [Petercam]. Your line is open.
Stefaan Genoe: Good morning. Stefaan Genoe, Petercam. First question, you're indicating that for the sale of the Healthcare IT business it would be Healthcare IT and in the DACH region including Imaging business. Is this because the potential buyer indicated to be interested in this party or is it just because you feel it's too much integrated anyway in these regions?
Christian Reinaudo: That's the latter. It's clear that in the example of DACH in Germany is the best example. In fact, if you see these Imaging IT DACH the so-called EE platform, it's a sort of extension of this and therefore it's almost impossible even if we can sell it as such. It's impossible to carry it out in a clever manner. The business is intimately tied together, by the way, it was like that when we acquired the business 12 years ago. And we believe it makes full sense not only for Agfa in terms of entanglement of our customers more importantly and probably for the future buyers to keep that together.
Stefaan Genoe: But it also implied that you will remain a supplier for renewal of these businesses the Imaging - the Imaging businesses?
Christian Reinaudo: Yeah, it will be up to the new company, let's say to decide, but I believe that there would be an evolution of course which is anticipated in our future plans. Of course in terms of cost to maintain this platform and to develop it. But you know, Stefaan, for example you have the cardiology module which is the obvious module, you have the risk module which is an obvious phase and this is embedded in this platform. So I mean, obviously without this it's almost impossible to carry it out.
Stefaan Genoe: Okay, okay. You will not - so you will sell with the combined Healthcare IT with the Imaging business in the DACH region, Brazil and France. I can imagine that Germany has got much more higher margin within that breakdown from slower margins, southern Brazil, probably somewhere in between. Can you give us some more few of what part of total sales you are looking forward to divest on top of the Healthcare IT, which part from the Imaging IT business will also go out and how will the total margin of the business you will divest compared to the current Healthcare IT margin?
Christian Reinaudo: So on the top line, I would say basically after the full carve out that we are still working on it, you will have roughly half of the IT division which would be part of the perimeter we're going to sell in terms of top line, you see on the pie chart 40% is HCIS, 60% is IITS, so you will have 10% of the 60%, roughly which would come to the perimeter for sale. In terms of profitability in due course we will give in the due diligence everything that people would need to make a good offer. And at that time you would probably know more as other reasons.
Stefaan Genoe: Yeah. But given that mix is good, it would be materially different from the current Healthcare IT margin your report or is that given that the radiology is also around - given that the other margins are also similar, is it - will it be far away from the current average?
Christian Reinaudo: That should be communicated in a due diligence.
Stefaan Genoe: Okay.
Christian Reinaudo: Well, I said before in case you just forgot it. The HCIS business in particular in DACH is very close to what our peers are doing because it's a business that we have well developed, which has a strong position. HCIS in France is getting in a better position and the IITS has suffered in the US from the last two years. So I mean, then you can elaborate your model, in the due diligence everybody will be very clear about that.
Stefaan Genoe: Okay. Okay. And then final question. Well part of the corporate overheads that have now been separated in the corporate services be relocated to the divested business?
Christian Reinaudo: No. Again, this is something we are doing. We are working on that. These corporate cost I believe for the entirety would not be reallocated to the business because they are really corporate customer and for the rest there might be, maybe a few of the costs which are maybe not needed, which are part of the structure of the business that's the exercise we are currently doing. In light of the board yesterday, so you kind of understand that we are not pretty ready to answer yet these kinds of questions.
Stefaan Genoe: Okay. Okay. Thank you.
Christian Reinaudo: Thank you.
Operator: Thank you. Our next question comes from the line of Guy Sips [KBC Securities]. Your line is open.
Guy Sips: Hi. This is Guy Sips, KBC Securities. I have two questions. So first is on the Healthcare IT. So you will sell out of this €122 million 40% from HCIS and then 10% out of the 6%0 that we see in the slides was totally it will be a roughly half of that, is that's correct. Am I correct in that? And second question is related also to that, how are the margins over the year for this Healthcare IT division is that that - I presumed fourth quarter will be much stronger than the first two quarters, but can you give us some group [ph] on numbers how we can see that? And a second question is related to the guidance you are giving on the restructuring costs, so you were first guiding for €25 million to €30 million and now it will be more in line with 2018 which was €66 million, so where is this difference and where will that be allocated to? Thank you.
Christian Reinaudo: Yeah. So on the profitability of the IT, I think I gave all the answers I could give to Stefaan. So if you have heard it there's nothing more I can add. There is a pattern of course quarter-after-quarter. There is a pattern in the quarter of the last month, but at the end of the day we will become clearer not only on the IT, but also on the perimeter when we give you guide. On the restructuring, you understand from the cost structure that we need to continue to do efforts. So we have launched a few things - a few or a lot of things. We are in the process of starting the implementation. This is dealing with the international structure not only of course in Europe or Belgium, but also in the US, to some extent in Latin America. There will be a significant amount of restructuring to provision. It's difficult to have - to give you a clear number. There are other costs which are going to come from this observation we are doing, but my expectation is that we may end up between €50 million and €60 million.
Guy Sips: Okay. Thank you.
Operator: Okay. Thank you. [Operator Instructions] Our next question comes from the line of Sandra. Your line is open.
Unidentified Analyst: Hi. [indiscernible] So I had a first question regarding the plan to decrease SG&A. Can you give me more like insights of what maybe the impact of such a plan? And I had another question regarding the sale of the IT Healthcare business. To what extent should we expect that you will use the proceeds that you would receive from such a sale? Thank you.
Christian Reinaudo: Okay. So the plan in SG&A it's not only SG&A, it's an effort all the lines of cost. You see that we have gross margin also which is reducing in offset. So we are working on all fronts. So that's purchasing, that's our supply chain. That's our G&A and our selling activity, the service also. In total the ambition is for SG&A to come back to the levels that we have been targeting. So at least to stop the evolution, the negative evolution of the ratio to cents [ph]. I think in the next quarter I would maybe be a little bit more explicit about the results. First of all, we will see in Q2 hopefully some elements of success already of this plan and I will try to give some colors on that. But difficult to quantify a number at this stage. But if we could say the range of 1% of our sales that would be a good number. Your second question was about the - proceed. So it's far too early to proceed because it's clear that there would be a debate on the proceeds. The question I think would be raised at the time we get closer to the finalization of the process. It's also very clear that there will be different stakeholders in the participation to the way we can use the proceeds without giving and other secrets. The shareholders probably will ask for some adherence, the business needs cash to invest and this is the rationale behind this transformation of the group that I explained already in 2017 that the group has been suffering in the past 10 years from the fact that we have split the business without injecting any cash in these companies. The balance sheet is weak. We have huge liability of pension. And therefore if we want to give more flexibility we need not only to simplify the structure of the group but also to give the group some capabilities to develop organically and externally. And then there would be of course stakeholders which would be the pension fund, which are probably going to say if guys you have cash maybe it's time to accelerate a little bit the refunding of the gaps. So this would be discussed at the board, this would be discussed with the different stakeholders. In due time, we are going to make extensive efforts as management this year to clarify the strategy and to identify targets for growth in the future years to come. It's clear that my intention and the intention of the management is to create value in the same order of magnitude of the value we lose by selling the business and not proposing to the shareholders to reinvest good money into lousy businesses. But it's too early to say more on this kind of stuff. You may see that we invest already the reorganization of the asset division. Of course, we will invest some of this amount of money into the restructuring of asset. I mentioned in the past minutes that I believe that our [indiscernible] business, our job Engine business and our IT business has to be developed. So that would be the first for explore - to be exploited in the next quarter's.
Unidentified Analyst: Okay, perfect. Thank you.
Operator: Thank you. [Operator Instructions] Okay. We have no further questions over the phone. You may proceed.
Christian Reinaudo: Okay. I think it's not a surprise because the three analysts have asked their questions. So I think you can propose to close the phones and give appointment to everyone in August for the results of our quarter two. Thank you.
Operator: Thank you. That concludes today's conference call. Thank you all for joining. You may now disconnect.